Operator: Welcome to the First Quarter 2022 Financial Results and Business Update Conference Call for Yield10 Bioscience. During the call, participants will be in a listen-only mode. The presenters will address questions from analysts today. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the conference call over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum.
Lynne Brum: Thank you, Alex. And good afternoon, everyone. Welcome to Yield10 Bioscience first quarter 2022 conference call. Joining me on the call today are President and CEO, Dr. Oli Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 issued our first quarter 2022 financial results. This press release as well as slides accompanying today's presentation are available on the Investor Relations Events section of our website at yield10bio.com. Let's turn to slide 2. Please note that, as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements. And such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. I'll turn the call over to Oli.
Oliver Peoples: Thanks, Lynne. Hi. Good afternoon, everyone. And thanks for joining our call. Near-term commercial focus on the renewable diesel biofuel market and a robust R&D pipeline, Camelina R&D pipeline, give significant momentum as we progress in 2022. Today, we'll provide an update on the recent accomplishments within the kickoff of our 2023 spring field program, review our target markets with an emphasis on biofuel feedstock oil, present the first quarter financials and summarize key milestones. We will then open the call to questions.  Now let's turn to slide 3, our crop innovation platform. Our innovation platform, Trait Factory, is centered around the oilseed Camelina, a crop we plan to establish as a platform crop to produce low carbon petroleum replacements and food products.  Let's turn to slide 4. Our business model is to provide farmers with a new growing opportunity by building elite Camelina varieties to produce seed products for new markets. Essentially, we will use our elite Camelina seed varieties to contract production of Camelina grain with farmers under offtake agreements to supply customers in the renewables and food space. Depending on the product and the customer, we will also contract seed processing to produce these products.  With our current elite varieties progressing towards commercialization and two proprietary value-added Camelina seed products in development, we're positioned to establish and grow a large seed products business.  Lead product in the near term is low carbon feedstock oil to meet increased demand for the biofuel sector. Here we are the early commercial stage and working on partner outreach to secure offtake agreements.  We believe this will be followed by the launch of Omega-3 Camelina to produce Omega-3 oils for the nutrition and aquafeed markets. And then, the PHA bioplastic Camelina currently in development to supply the growing demand for biodegradable, zero waste plastic packaging. Combined, these products represent a very large revenue opportunity.  Let's now turn to slide 5, advancing the business. With significant momentum entering 2022, we are operationalizing the commercial plan to launch our Camelina seed products business. Our commercial team is engaging with potential supply chain partners to form alliances that will support our capital light business model.  We welcomed Darren Greenfield to our team to lead seed operations in January. Darren has more than 25 years' experience in canola, with companies including BASF, Dow Agrosciences and Cibus. He is leading efforts by our commercial team to reach out to growers for contract planting, as we work on securing supply chain partners. In support of this plan, he is lead spring and winter Camelina varieties for initial commercialization in the North American biofuels market.  In April, we named Willie Loh as a special commercial and technical advisor. Willie previously served as VP, Market Development, Global Edible Oils division at Cargill. He has extensive knowledge of the commercial landscape for commodity and specialty oils, including Omega-3 oils, and we welcome Willie to our team.  As we build our business around Camelina, our research team has done an outstanding job developing elite Camelina lines to launch the business and a pipeline of novel gene traits.  In March, we reported supportive and encouraging data generated in our 2021 Spring field program. Our winter field program is progressing on track and is expected to provide us with important data on winter and spring varieties grown in a variety of geographies. Kristi will provide an update on our winter and spring programs.  As we continue to build our patent portfolio, I am pleased to report that, in early 2022, two new patents have issued. A patent was granted in Australia for C3007, a promising oil content boosting trait, and a patent was granted in Canada on advanced technology for producing Omega-3 oils in Camelina.  I will now pass the call over to Kristi.
Kristi Snell: Thanks, Oli. And good afternoon, everyone. On our March call, we described the results of our 2021 spring field testing and today I will provide an update on our ongoing winter program, as well as describe the scope of our 2022 spring field program.  Let's turn to slide 6. Winter Camelina can be grown as a winter cover crop off-cycle from food production, providing greater access to acreage, paired with the summer season crops such as [Technical Difficulty] winter Camelina to harvest in the late spring or early summer of 2022. These sites included 17 acres of our cold tolerant winter Camelina lines in Saskatchewan, Canada, and 22 acres in an early maturing line in Idaho. We expect these activities will produce seed for further scale up in fall of 2022 to begin to produce seeds to get into farmers' hands for commercial planning.  We also performed small plot field evaluations of Yield10's winter Camelina lines, as well as germplasm accessions that Yield10 obtained from third parties at sites in Idaho, Kansas, Minnesota, Iowa, Illinois and Georgia. These field evaluations will allow us to determine the range of suitable areas for growth of winter Camelina and identify differences in the germ plasm varieties in different climates. The trials are in different stages of growth depending on location, and range from completion of seed harvest at sites in Georgia to plants that have recently emerged from snow in Saskatchewan, Canada. We expect to obtain agronomic data from these trials.  Let's turn to slide 7. We are continuing to progress our elite Camelina germ plasm development. Our spring program will include more than 25 trials at 11 sites located in the US and Canada. Permitting for this spring program is substantially complete. And in certain geographies, planting has begun. We expect planting at all fields to be completed in the weeks ahead and for harvest to be completed by the end of the third quarter.  We have made good progress against our goal of producing proprietary Camelina varieties with herbicide tolerance and pest resistance. In our 2022 field test program, we will evaluate candidate Camelina lines for herbicide tolerance to identify lead and backup lines for commercial development and regulatory approval. Once these lines are identified, we plan to accelerate these candidates into seed scale up and put them on the path to regulatory approval.  Events of Camelina E3902 possessing herbicides tolerance will be evaluated in the program as we continue to develop this leading elite germ plasm. We will also test Camelina lines for downy mildew resistance on fields known to harbor this fungal disease.  As part of the program, we will continue seed scale up activities for our prototype Camelina C3015 trait which produces PHA. This work will be conducted at acre scale. We plan to extract PHA from the seeds to support our business development activities.  Meanwhile, in R&D, we are working to optimize the PHA bioplastic traits to produce 10% to 20% DHA bioplastic in the seed and to demonstrate PHA bioplastic copolymer production in Camelina.  We will also continue to progress our proprietary gene traits to boost seed oil content and seed yield, including more work with C3020. We will also test canola C3007 lines to collect seed oil content and yield data for this promising trait.  Let's turn to slide 8. The chart on this slide illustrates our Camelina pipeline as well as our planned launch sequence. At the top of the chart, we start out with Camelina line E3902 launched into the biofuel market. This will be followed with tolerance to broadleaf herbicides and residual soil herbicides. We then plan to stack the trait for downy mildew resistance to produce a robust package of traits to enable growers to embrace planting Camelina as a spring or winter crop. We have plants in testing for each of these traits, and plan to be in position to stack or combine the traits in Camelina to meet grower needs.  Our Camelina platform will also enable us to stack on new performance traits as we identify them, as well as PHA and Omega-3 product traits as our programs progress. Based on preliminary discussions with regulators, we believe that the regulatory path for our trait development may be supported by the USDA-APHIS' SECURE Rule in the US as well as the updated emerging CFIA regulations in Canada.  With over 25 years of safety experience with biotech crops in the US, the science-based approach codified in the SECURE Rule enables the evaluation and confirmation of the regulatory status of well-studied traits deployed into new crops. This framework also enables clarity around the regulatory path early in the development of new traits, enabling close alignment of the confirmation of regulatory status and timelines, key production ramp up and commercial launch planning.  With that, I'll hand the call back over to Oli.
Oliver Peoples : Thanks, Kristi. And congrats to the team for their accomplishments around executing the winter program and starting up the spring field testing program, which we expect will generate a broad range of data, including confirming herbicide tolerance in Camelina lines.  Our strategy to build shareholder value is to commercialize Camelina as a platform crop to produce renewable products, including feedstock oils, renewable diesel in the near term, and to leverage our advances in crop development to launch elite Omega-3 Camelina and PHA camelina varieties, PHA bioplastics in the future.  Let's turn to slide 9, renewable diesel and establishing the Camelina value chain. Based on announced fuel industry investments, the production of renewable diesel alone is projected to grow to 5 billion gallons annually from an estimated 1 billion gallons in 2021. These investments are necessary to meet regulations such as the California Low Carbon Fuel Standard, LCFS, and similar standards extending to other states and Canada.  Selling diesel fuel in California requires producers to be the carbon standard, either by adding lower carbon renewable diesel – petroleum diesel or purchasing carbon credits.  Increasing energy prices due to the crisis in Ukraine is another potential tailwind for biofuel demand. This new demand will have to be made mostly from increased use of vegetable oil. This in turn is placing further pressure on vegetable oil prices, resulting in opportunities for new crops like Camelina to expand production.  Our commercial strategy for elite Camelina is capital-light, one using contract farming, seed crushing, and customer offtake agreements to manage costs and inventory risk in the early years of the business.  To establish a leadership position in the near term, we are prioritizing the development of Camelina lines with herbicide tolerance and disease resistance to enable large acreage production. Our performance traits for yield in oil will be stacked into these lines as we progress.  In 2022 to 2023, we plan to execute seed scale up activities to enable planting in the range of 1,000 to 20,000 acres. We are moving forward with our current nonregulated varieties and will progress the regulatory path for new varieties as needed.  In addition to our R&D and early commercial activities, we have ongoing business discussions with the key players in the value chain, including seed processors and biofuel companies. As stated, our goal is to secure offtake agreements.  Now, let's turn to slide 10, biorefineries and feedstock production locations. This slide illustrates where in North America biorefinery expansion investments have either been made or are planned. We have circled areas where we see the potential for Camelina production and indicated the likely direction of Camelina product flow to the primary market for low carbon biofuels in California.  Some of the production areas like the Pacific Northwest are also biorefineries, so products transported from growing regions could be in the form of grain, feedstock oil or finished biofuel.  Earlier in this call, Kristi presented a map and summary of our winter field trials, and this current chart indicates how our development and commercial strategy links up with the production and market opportunity.  Let's turn to slide 11 for an update on PHA bioplastic and Omega-3 programs. In the PHA bioplastic area, our efforts are focused on optimizing the PHA trait to enable PHA bioplastic production in Camelina seeds.  Our business model is the same as for biofuel feedstocks, use contract growers to produce elite Camellia varieties which can be processed to produce three products – PHA bioplastic, biofuel feedstock oil and protein meal. This will integrate PHA bioplastic production into large scale low cost agriculture, with a potential for costs in the range of feedstock oils.  As Kristi indicated, our prototype Camelina line – PHA Camelina line C3015 is being planted at acre scale this year to produce PHA for process development and business development use. The R&D team is continuing activities related to trade optimization.  We are pursuing collaborations with industry, as PHA bioplastics have traction with brand owners interested in biodegradable materials as a zero waste end-of-life solution for their products and packaging. PHA Camelina represents a potentially disruptive technology. So we look forward to updating you on our progress throughout this year.  I'll now turn to the fish oil and Omega-3 markets. Camelina has proven to be an excellent platform for producing DHA+EPA Omega-3 oils. And there's a large opportunity in Omega-3 fish oil market driven by reduced supply of oil from harvesting ocean fish, and growing demand in aquaculture feed and nutrition markets.  We believe the land-based production of Omega-3s is an important potential solution for this market. In 2022, we plan to continue our work with Rothamsted to progress the Omega-3 traits at the progressed third-party business discussions.  Let's turn to slide 12 for an update on licensing opportunities. We have non-exclusive research license agreements in place with Bayer, GDM, Forage Genetics and Simplot to test our traits in various commercial crops. Each company is evaluating our traits in their target crop with the option to negotiate a commercial license. The arrows in the slide indicate the duration of these agreements.  We are following up on industry interest in oil content traits, including C3007 for soybean and canola, and we are seeking partners to test the traits in corn. The GRAIN platform also represents a unique collaborative opportunity, driven by interest in identifying novel performance traits.  I will now turn the call over to Chuck to discuss the first quarter results.
Charles Haaser : Thanks, Oli. And good afternoon, everyone. Let's move to slide 13. We ended the first quarter with $12.7 million in cash, cash equivalents and investments, and we expect that our cash on hand, together with expected revenue from our current government grant, will support our operations into the first quarter of 2023. We continue to have no debt on our balance sheet.  Our net operating cash usage was $3.1 million for the first quarter of 2022 as compared to $2.6 million for the first quarter of 2021. And for the full year 2022, we're estimating a net total cash usage of $12 million to $12.5 million. The increase over 2021 spending is to support our transition of commercial activities, including seed operations, as well as our accelerated goal achievement in R&D.  Let's now review the first quarter 2022 operating results. For the first quarter of 2022, the company reported a net loss after taxes of $3.31 million as compared to a net loss after taxes of $2.6 million for the first quarter of last year.  Total research grant revenues in the first quarter of 2022 were $149,000 versus $196,000 in the first quarter of 2021 and the decrease stems from our receipt of a recognition of a small Canadian grant of $39,000 during the first quarter of last year.  In the first quarter of 2022, R&D expenses were $1.8 million compared to $1.3 million in the first quarter of 2021 and G&A expenses were $1.7 million in the first quarter of this year in comparison to $1.4 million in the first quarter of last year. For more details on the financial results, please refer to the earnings release. 
Oliver Peoples : Thanks, Chuck. And let's turn to slide 14, upcoming milestones. In 2022, we will continue to focus on the following milestones – expanding our commercial activities targeting the renewable diesel market, continue to build our differentiated elite Camelina germplasm collection, executing on our 2022 field testing and seed scale up program, advancing the optimization of our PHA bioplastic trait, and progressing the commercial launch for Camelina DHA+ EPA Omega-3 oils. We also plan to secure revenue generating strategic industry collaborations and expand our intellectual property portfolio.  With that, I'd like to turn the call over to Lynne for questions.
Lynne Brum: Stacey, we're ready for questions.
Operator: [Operator Instructions]. Your first question comes from Ben Klieve with Lake Street.
Ben Klieve: First question, Oli, you mentioned in your prepared comments efforts to scale up seed inventory to be in the 1,000 to 20,000 acre range during 2022 and 2023. So, is your expectation here that you're going to be at that level of inventory after the harvest in the fall of 2023? Is that correct?
Oliver Peoples: I would say the plan is to – obviously, there's a lot going on currently in agriculture. But, basically, what we'd like to do is be in a position to be able to plant fairly large acreage as we move from 2023 into 2024, as well.  And the way this works with Camelina is the seed multiplier effect is one acre of production seed will allow you to plant up to 200 acres of grain, if you like. And so, that's a very nice multiplier that Camelina has. And so, as we move into this year and start to scale up, the goal is to be able to get obviously thousands of acres, tens of thousands and hundreds of thousands as we move forward here.  One piece of information I would say is I think we've been clear that we feel that herbicide tolerance is going to be pretty important as we get particularly to that 50,000, 100,000, 500,000 acres. Obviously, that's a key goal for us going forward is to get that in place.
Ben Klieve: On an unrelated note, the kind of seed scaleup activities, as you speak with these potential offtake partners and the biofuel end market, do you sense that there's a kind of minimum level of scale that those partners are requiring before being able to formalize an agreement with you?
Oliver Peoples: It's a real mixture. I think when you look at where Yield10 is at today, there's two quite different challenges. And I kind of like to break them down into, anything up to 25,000 tons of seeds production and then 25,000 tons and beyond. And a large part of the reason for that is the – most of the larger scale production, I would say, seed crushing opportunities for Camelina are really in switch, what they call switch plants. These are plants that are designed to be flexible on the seed that they crush. Usually, things like Camelina sunflower, canola, for example, crushers are dedicated Midwest soybean crusher. And so, when you get into switch plants, the equipment has to be reset. And there's seems to be a sort of a minimum volume that you need to make it worthwhile making those changes. So, although there are switch plants out there, I think somewhere around 25,000 tons is probably – of grain going in, it's probably that kind of ballpark number you need. And that's really based on conversations we've had with some of the major crushers. So, there is this kind of gap between here and there. And obviously, one of the things we're working on is identifying players who can crush smaller volumes or who are willing to enter into agreements that would result in them crushing those smaller volumes, but while we build up the acreage. So, those discussions are ongoing.  I will say that there's other folks in our space where what they really want is they want you to start delivering so many trading cars of oil pretty much next week. And so, it's a wide range of sort of interest.  Everyone knows, I think in the space, that really securing long-term supply of feedstock oil is going to be pretty important for their business. And certainly, we're talking to folks that are sort of everywhere from needed today to look into secure hundreds of thousands of acres of supply three, four or five years out. So, there's just a wide range of potential partnering options here.  As we go forward as Yield10 and, obviously, we brought someone on to head up seed operations, and the reason for that is, is when you start – for Yield10 as it was prior to 2021 really focused on the R&D side. That you can pretty much manage with an R&D team. But when you start to think about planting seed on thousands and tens of thousands, hundreds of thousands of acres, then you really want to be planting high quality, ultimately pedigreed seed. And so, there's a whole seed scale up and production train that has to go along with that. And obviously, Darren is the guy who's heading all that up.  So, we are kind of having to do both at the moment as we get ourselves in a position to transition over to what would be a more normal sort of set of operating routines. And so, we have a lot going on. We are scaling up this year. We have plans to scale up this year with spring and winter varieties. And then, of course, we'll sort of provide a lot more color on where we're at in this as things come into place and as agreements come into place.
Ben Klieve: You certainly do have plenty going on. I did not appreciate how extensive your trials were. I was pleasantly surprised to see really how robust that activity is this year. So, no, you've got plenty going on that's like navigating all that.  Next question on the offtake agreements – or with potential partners for offtake agreements. Do you sense that either on the crush or on the biofuel side that these potential partners have a bias towards Camelina as a summer or a cover crop? Do they think that the kind of secondary benefits of Camelina as a cover crop are important to them? Or are they pretty indifferent and they just want the oil?
Oliver Peoples: That's a kind of a double-edged sword there, Ben. In the first case, I think what they want, the crusher wants to just crush and get the oil margin. Biofuel players, however, want access to that carbon intensity score. And, obviously, I think we and I think some of the players in the biofuel space really feel that the winter varieties, in particular, you're really reusing the land, as well as getting the environmental benefits of cover cropping. That may have a better score. This is something that we obviously have to measure and determine.  But, clearly, when you look at the value of the biofuel, the carbon intensity of the feedstock is a key driver of that value. And, obviously, as you can imagine, there's all kinds of positioning, posturing and negotiating around who captures that value, and certainly Yield10 would like to get a piece of it.
Ben Klieve: One more for me and then I'll get back in queue. You mentioned that Darren has been going out to farmers to try to kind of secure because – secure growers here for this spring, especially in the context of that really wide ranging map. Can you talk about successes and challenges that he's had in doing so? It's a big operation for him.
Oliver Peoples: Yeah, let's not get too far over our skis on that. Darren came on board basically back in January, and really is getting used to what we have available in Camelina. And obviously, we've got a lot more scale0up work to do before we have a, what we call, a professional seed operation underway. So, no, he's really, I would say, getting the learning under his belt as to – regards the line that we have, where they fit, where the growers' interests are. I can say it quite openly. Right now – primarily because of the problems last year in canola, in particular. I would say there's a lot more interest in winter Camelina than there was in spring. And certainly, obviously, we are scaling up the WDH2 and WDH3 lines accordingly. I think that's a trend over the long term is likely to remain. I just think that there's less competition for land at that time of the year and that's really where Camelina just has a very unique fit. Now, I will say that doesn't mean that there's not a lot of interest in spring Camelina. There is. It's just that farmers are typically making their planting decisions sort of in the sort of October, November area. And so, as we get this year under our belt, to get that position we expect to ultimately be planting spring and winter at scale.
Operator: Next question comes from Anthony Vendetti with Maxim Group.
Anthony Vendetti: Just to follow-up on the spring planting. So, C3020 and C3007 produced increases in seed oil content. I know you were supposed to do additional field testing in spring of 2022. Are you saying that – is that being pushed out a little bit? Or can you give us an update on where those two are?
Kristi Snell: We saw in 2021 trials, we saw increases in oil for both C3020 in Camelina and C3007 in canola. And so, we're replicating those results this year. We're doing extensive testing at multiple sites to, again, try this trait out in multiple sites under different conditions. But so far, we're very pleased with both traits.
Oliver Peoples: There's not been any stepping back on that. Those are being pushed forward. I think we had originally meant to defer doing further work in canola, but obviously we like what we saw. And when you look at this, I would say, demand for biofuel, obviously, traits that can impact oilseed yield, whether it's canola, Camelina or soybean or seed oil content, really, there's a potential for some value capture there. We are well aware of this and so we are testing canola C3007 again this year. And obviously, we're looking for opportunities to license those things.
Anthony Vendetti: So, that's moving according to plan. Okay. That's good to hear. And then, you completed also in 2021, the field work to begin to scale up for the prototype PHA spring Camelina lines. Are those moving along at acre scale in 2022 as well?
Kristi Snell: Yes, we do have a scale up this year, about 3 acres that we're planting. So we're very excited about that activity.
Oliver Peoples: I'm very much looking forward to standing in that field. We did a really long time to stand that. I'm very much looking forward to that. And obviously, credit to the team that they're getting all these trials done, as Ben said, over the winter. That's a remarkable job by that group. And obviously, as we continue to grow the organization, we look forward to doing more of that. But we will ultimately focus on key areas, particularly as we secure offtake arrangements. We will try to map the activity of the offtake agreements to really to optimize the value of what we do and that, of course, is driven in part by the carbon intensity of the oil.
Anthony Vendetti: Lastly, I know you're having lots of negotiations and lots of discussions about potential partners, contracts and so forth. Is that continuing to progress on multiple fronts? Any color on that would be helpful. 
Oliver Peoples: Obviously, in general, I would say – across the board you asked, but I would say, if anything, there's an uptick in the biofuel space. It's not surprising. If you look at some of these players out there who are making investments and if you look at Chevron recently just who has been a – Chevron and basically just signed up with Bunge, who's tied up with some CoverCress, which is an alternative oilseed for cover cropping as a source of oil to be essentially the processor of everything they produce. And then, of course, Global Clean Energy Holdings in California, who's tied up with Exxon, who also invested in sustainable oils, which is owned by Global Clean Energy, also trying to secure new crops that can deliver feedstock oils for the refineries. So, I think these partnerships are all – I think there's another one with Nuseed and BP focused in the southern state. So we're well positioned. We're having a lot of conversations. I would say there's more conversations on the biofuel space than on anything else. Not surprising given the demand and the investments that are going in. So obviously, it's up to us to get one of those secured or more. And so, that's what we're working on.
Operator: Next question, Michael Irwin with Univest Securities.
Michael Irwin: My first question is in regards to the ongoing situation in Ukraine causing some logistical issues, hard to anticipate at the time. And so, there isn't any kind of long-term risk due to the situation. But for the short term, because of logistical issues, have you had any, I guess, inbound calls and interested partnerships because of the issues that would raise from this situation?
Oliver Peoples: We haven't had any calls directly related to Ukraine. I think one of the things that I think we all need to keep in mind is, I think Ukraine produces about one-eighth of the world's grain. It's a very large wheat producer, maybe a quarter of the wheat. It's also a major producer of sunflower for sunflower oil which goes into food. So, obviously, that's going to further tighten markets for some of these commodities. And we do believe it's going to impact planting decisions made by growers particularly for spring varieties. And so, there are definitely going to be knock-on effects into the agricultural markets from that. One of the bigger unknowns, of course, is Belarus with the other half of the world's potash production. And obviously, they're not in that situation yet, but that's not clear that they're not going to be. So, there's a lot of uncertainty around agriculture in those areas. If anything, I think what it's doing is it's probably stimulating more interest in securing supply from North America and South America.
Michael Irwin: There's been some ongoing interest within the UK government about introducing some new regulations regarding GMO foods and potentially key additive foods [indiscernible] introduce any foreign genes into the plants. And so, I guess, that was just kind of also [indiscernible] guys do not do anything – introduce any foreign genes into plants.
Oliver Peoples: Those regulations are initially focused on defining genome editing as essentially just a – it's just a more tailored, directed scientific method of doing essentially breeding. So that's what it is. And so, they're definitely moving to sort of deregulate that. And obviously, that's of interest to us. We do work with the Rothamsted Institute in the UK and the Rothamsted Institute is the oldest agricultural institute in the world. One of the inventors of a thing called fertilizer. Strangely enough. Obviously, is working primarily on omega-3 oils. But, obviously, they have a lot of land there. They have a lot of capability. We've had a good working relationship with them. And as these rules in the UK continue to evolve, we'll be pretty open to finding ways to leverage that. And so, I think that's generally a trend.  I would say something else. I was in Starbucks the other day and I noticed they have the Impossible breakfast sandwich. And I think it would definitely be impossible to get me to eat it. But that Impossible breakfast sandwich contains a GMO product and that GMO product is also launched in the UK in Burger King. And so, I think there's been a major shift in the perception of how important gene technology is to society, a large part, that's driven by essentially the whole, obviously, COVID situation and I think the incredible success of these, I would say, gene-based vaccines. And so, I think there is a shift.  Now Mainland Europe, I wouldn't bet on that. I don't know how to explain Europe other than just protectionism. And so, I see tremendous opportunities for this. It's really good to see the UK moving in that direction.  The Canadians have indicated that they're going to do something along the same lines as the new US SECURE Rule. But they haven't actually released that information yet as to how they're going to do that. And then, I think what you're seeing is a lot more sort of approval of GM products in China. So, I think you're going to see a lot more GM products in China, India, other parts of the world. I think the UK is going to be the same. Germany and France, I'll leave that to you to figure out. You're way smarter than me.
Michael Irwin: I don't know [indiscernible] growing in North America, but I also understand if you're working [indiscernible] in South America and Australia. So, I was just wondering if there's any update on that area?
Oliver Peoples: We continue to do work in South America. We haven't spoken specifically about it. We still have work ongoing down there. And obviously, we're looking other parts of the world as well. South America is pretty attractive. I think Western Australia looks pretty attractive or something. So, we are looking fairly globally with this. One of the cool things about that math – of where we're doing trials that Kristi showed you is, that's pretty much from Northern Saskatchewan all the way down to the top of Florida. And Camelina seems to have, I would say, capability across that range, but obviously, in the winter season. And so, it's a pretty robust plant and, obviously, we believe, it has a very high upside potential.
Michael Irwin: For the PHA, is there a time line we can expect [indiscernible]. We currently have that 2025. Is there any kind of way that can be pushed up [indiscernible]?
Oliver Peoples: Right now, we are sort of focusing – I would say, in terms of commercialization of PHA, it's really more focused on – now the commercialization activity is really focused on partner outreach. But we are a pretty small company and we have a very full plate dealing with potential or partner prospects in the – probably in the sort of biofuel space. And so, our bandwidth is pretty limited to work on other things. However, again, Kristi and her team, we do have the first acre scale PHA trials out there this year. We expect to be planting those soon. We're very much looking forward to that. That will give us thousands of pounds of seed to begin doing some process work.  And I was up in the lab the other day and they're crushing Camelina in our new small-scale crusher. So, obviously, it was nice to see actual oil coming out of that. Now they did over heat the damn thing and start burning it. But the point is, I think we're really looking forward to getting real quantities of PHA Camelina seed in hand to begin looking at the processing to recover that product. And one of the things that's really neat about a three product seed is the added value you get on the oil component because of the ability to use the carbon-negative PHA bioplastic as a way to further reduce the carbon intensity of the oil. So, we've put out a white paper on that, it's on our website. It's a really interesting set of synergies between those two products. And then, of course, you still get protein meal, which is pretty important for food.
Michael Irwin: Okay. My last question is, have you been testing for the level of emissions comparing your renewable diesel to the carbon diesel?
Oliver Peoples: The way that works in terms of how that goes, if you look at petroleum diesel, it's got a carbon intensity of around 100. I think if you use soybean oil-based biofuel or canola based oil fuel, you've got a carbon intensity of around 50. And then, I think what we have seen so far – and again, we are still early days, but others in this space, like [indiscernible] have indicated a carbon intensity of around somewhere between 18 and 25 for Camelina oil. Now obviously, as you further improve the productivity of the crop, as we further improve the seed oil content, then I think there's definitely opportunities to improve that. And then, of course, it remains to be defined, but I think we're pretty optimistic about the potential of having an even lower carbon intensity score with the winter pipes, but that remains to be measured. And then, as I said, when you get into the future, what we see as the future of the sort of petroleum replacement market, Camelina – it will be the PHA Camelina producing oil, which will have a very low, potentially negative carbon intensity, the bioplastic and then, of course, the protein meal for feed in food.
Operator: I will now hand the call back to Lynne.
Lynne Brum: Yeah. Thanks, Stacey. And I'll turn the call back to Oli for closing remarks.
Oliver Peoples: So I would like to thank everyone for joining us on the call tonight and especially our shareholders for your continued support. This is an exciting time for Yield10 as we focus on the opportunities ahead in 2022 and beyond. In the near-term, we are focused on preparing for the launch of Camelina for renewable diesel, as well as in advancing our activities on PHA bioplastic and Omega oil products in development. I want to thank everyone at Yield10 for keeping us on track to reach our goals in 2022. Have a nice evening.
Operator: Thanks, everyone. You may now disconnect.